Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Eltek Ltd First Quarter Financial Results Conference Call. All participants are present in a listen-only mode. (Operator Instructions) As a reminder, this conference is being recorded May 29, 2013. Before I turn the call over to Mr. Arieh Reichart, President and CEO, and Amnon Shemer, CFO, I’d like to remind participants that comments made during this conference may contain projections or other forward-looking statements regarding future events or the future financial performance of Eltek Ltd. These statements are only projections and reflect the current beliefs and expectations of the Company. Actual events or results may differ materially. With that said, it is routine for internal projections or expectations to change as quarters progress. All forward-looking statements are based on information available to the Company on the date hereof and the Company assumes no obligation to update such statements. Please refer to documents that Company has filed from time to time with the SEC specifically the Company’s annual report on Form 20-F, its periodic reports on Form 6-K and the Safe Harbor language contained in the Company’s press releases. These documents contain and identify important factors that could cause the Company’s actual results to differ materially from those contained in its projections or forward-looking statements, which the Company urges all investors to consider. Eltek undertakes no obligation to publicly release their visions to such forward-looking statements that maybe need to reflect the events or circumstances as of the date hereof or to reflect the occurrence of unanticipated events. I’d now like to turn the call over to Mr. Amnon Shemer. Mr. Shemer, please go ahead.
Amnon Shemer: Good morning. Thank you for joining us and welcome to Eltek’s 2013 first quarter earnings call. Presenting on today’s call will be Arieh Reichart, the CEO of the Company and myself. Right now everyone should have access to our first quarter press release, which was released earlier today. If you have not received the release, it is available on our website at www.eltekglobal.com. Our call today will begin with an overview of our business and a summary of the principle factor that the fact that Eltek’s authorizing results during the first quarter of 2013 by our CEO Mr. Arieh Reichart. I will then follow Arieh, with a presentation on Eltek’s financial results for the first quarter. As of the conclusion of this presentation, there will be an opportunity for questions. During this conference call we will be discussing non-GAAP financial results such as EBITDA. Eltek uses EBITDA as a non-GAAP financial performance measurement. Please see our earnings release for our definition of and our (indiscernible). I will now turn the call over to Arieh Reichart for his overview of our business and the key factors that affected our first quarter operating results. Arieh?
Arieh Reichart: Thank you, Amnon. We are pleased to share with you all our results. As I mentioned in press release, I’m pleased to report that our customers continue to see the value proposition of our products and have a great deal of trust in our Company and its product. Specifically, in our own backyard, we have seen greater interest from our local customers, reflecting the continued market recognition of our high quality and reliable products. In addition, despite the increase in the cost of raw materials and labor, we were able to achieve a growth in revenue, with $12.5 million in revenue for the first quarter of 2013, while maintaining Eltek’s ability to stay profitable despite external market-changing elements. I’ll now turn the call over to our CFO, Amnon Shemer, for his presentation (indiscernible) to our for 2013 first quarter financial results. Amnon please.
Amnon Shemer: Thank you, Arieh. Revenues for the first quarter of 2013 was $12.5 million compared to revenues of $12 million in the first quarter of 2012. Gross profit for the first quarter of 2013 was $1.8 million, 14% of revenue compared to gross profit of $2.20 million, 19% of revenues in the first quarter of 2012. Gross profit decreased mainly due to increases in the cost of labor and raw materials. Operating profit for the first quarter of 2013 was $230,000 compared to operating profit of $716,000 in the first quarter of 2012. Net profit for the first quarter of 2013 was $127,000 or $0.02 per fully diluted share compared to a net profit of $526,000 or $0.08 per fully diluted share in the first quarter of 2012. EBITDA, Eltek’s EBITDA for the first quarter of 2013 was $613,000 compared with EBITDA of $1.2 million in the first quarter of 2012. We are now ready to take your questions.
Operator: Thank you. (Operator Instructions) There are no questions at this time. Before I ask Mr. Reichart to go ahead, with his closing statement, I’d like to remind the participants that a replay of this call will be available tomorrow on Eltek’s website www.eltek.co.il. Mr. Reichart, would you like to make your concluding statement?
Arieh Reichart: Thank you all for your participation, and your interest in the Company in Eltek. We hope to see you all in our future events. Thank you very much.
Operator: This concludes the Eltek Ltd first quarter 2013 financial results conference call. Thank you for your participation. You may go ahead and disconnect.